Operator: Hello ladies and gentlemen. Thank you for standing by for GDS Holdings Limited’s Third Quarter 2018 Conference Call. At this time, all participants are in a listen-only mode. After management’s prepared remarks, there will be a question-and-answer session. Today’s conference call is being recorded. I will now turn the call over to your host, Ms. Laura Chen, Head of Investor Relations for the Company. Please go ahead, Laura.
Laura Chen: Thank you, Joanna. Hello everyone and welcome to the 3Q18 earnings conference call of GDS Holdings Limited. The Company’s results were issued via newswire services earlier today and are posted online. A summary presentation, which we will refer to during this conference call, can be viewed and downloaded from our IR website at investors.gds-services.com. Leading today’s call is Mr. William Huang, GDS’s Founder, Chairman and CEO, who will provide an overview of our business strategy and performance. Mr. Dan Newman, GDS’s CFO, will then review the financial and operating results. Before we continue, please note that today’s discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the Company’s results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in the Company’s prospectus as filed with the U.S. SEC. The Company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please also note that GDS’s earnings press release and this conference call include discussions of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. GDS’s press release contains an reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. I will now turn the call over to GDS’s Founder, Chairman and CEO, William Huang. Please go ahead, William
William Huang: Thank you Laura. Hello everyone. This is William. Thank you for joining us on today’s call. I’m very pleased to report another quarter of outstanding performance, with significant progress across our business. Let’s start – starting with sales, which is a leading indicator of our future revenue and profit growth. In the third quarter, we signed up customers for nearly 19,000 square meters of net additional area committed. All of this is organic. All of this is in Tier 1 markets. With this addition, we stayed on track to double the new business we signed last year. At the same time, we delivered to our customers around 14,000 square meters of additional revenue generating space. The utilization rate moved up to 68%. This drove another quarter in which our adjusted EBITDA grew by well over 20% quarter-on-quarter and 100% year-on-year. Backing this up, we started construction of four new projects and brought another four into service, on time and within budget. We kept sales and capacity growth synchronized. The pre-commitment rate for area under construction was 45% based on signed contracts, with significantly more in the contracting process. As always, we ensured that all of our project are fully financed with sufficient equity and long-term project debt. Overall, this performance demonstrates the resilience of our business and our ability to keep on beating targets. We are once again raising our FY18 guidance for revenue and EBITDA. Turning to Slide 4. A highlight of our sales achievement for this quarter was three significant new customer wins, namely JD, Kingsoft and NetEase. This was a direct result of our targeting of large-scale cloud and internet customers who we believe are strategically important for our franchise because of their cloud platforms, valuable data, and ecosystems. On the enterprise side, we won our largest ever order from a foreign financial institution, a top US bank, which is moving fast to capitalize on the financial services liberalization in China. Unusually in this quarter, new customers accounted for over 50% of our new business. This demonstrates that we keep diversifying our top customer base. At the same time, this does not mean our existing customers are pulling back. Based on what we see in our sales pipeline and what our top customers have shared with us, we don’t see any let up in the current level of demand. There is a lot of the data pointing to a slowdown in parts of the digital economy as a result of macro-economic and geo-political factors. How is this affecting us. The short answer is that we don’t see it. I think there are three main reasons to explain the apparent disconnect. First of all, our business is geared towards the growth of cloud platforms. As everyone knows, public cloud in China is still at an early stage of development. The IaaS segment is just 15% of the U.S., but forecast to grow at nearly double the CAGR over the next five years. Alibaba, the market leader, has just reported 90% year-on-year revenue growth for its cloud business, which is similar to our growth rate. Furthermore, our largest customers still have a long way to go to migrate all of their own IT on to their cloud platforms. This internal demand is not reflected in the disclosed revenue figures. The second reason is new technology, in particular AI. More and more applications are becoming AI-enabled. It’s a major focus area for Chinese tech leaders. They expect to create a lot of economic value from the AI over the next few years. From a technical perspective, AI requirements, more data, more storage, and more computation. Many AI applications are also highly latency sensitive. This is increasing demand for data centers like ours in Tier 1 markets. The third reason is that our large-scale customers secure their supply of data centre resource based on 12 to 24 month planning time horizon. The capacity to fulfill their requirements does not exist. It has to be built. Therefore, our customers need to contract with us now in order to ensure that they will be able to execute their business plans in 2019 and 2020. This is why we have a large backlog and high visibility for future growth. In summary, we remain highly confident about the sales outlook based on our existing and new customer relationships and evolving technology. Let’s – turning to Slide 6. I have talked about demand. Now let me talk about supply. There are many challenges to creating new resource supply in Tier 1 markets due to the pressure on real estate and power. As scale increases, these challenges are only getting bigger. The ability to deal with these challenges is one of the factors, which sets GDS apart. As we initiate new projects, we consistently re-stock our resource pipeline. In additional to what you see currently under construction, we have another 100,000 square meters plus of capacity held for future development. Our ability to maintain continuous supply in all Tier 1 markets is a critical consideration for hyper-scale customers. No other service provider in China comes close to us in terms of data center platform. This is why we don’t see any significant change in the competitive intensity. Going forward, we are evaluating campus type developments on the edge of the Tier 1 markets to industrialize our capacity expansion, making it easier and more efficient for us to scale up. We are also actively considering entering one or two new Tier 1 markets. We expect to make announcements about such projects over the next couple of quarters. We have a great track record of delivering resource to customers for their expansion. Although, we don’t talk about it very often, and very often – we also have a great track record of delivering exceptional operating performance. We were recently put to an extreme test. During September, Southern China was struck by the worst typhoon in a hundred years. As shown on Slide 8, we had eight self-developed data centers in the eye of the storm. Despite over 500 failures in the power grid and the damages to other critical infrastructure in the Shenzhen and Guangzhou regions, our data centers ran non-stop, without any breach of SLAs. This is the kind of achievement which our customers really recognize and appreciate. With that, I will hand over to Dan for the financial and operating review.
Dan Newman: Thank you, William. Starting on Slide 13, where we strip out the contribution from equipment sales and the effect of FX changes. On a quarter-on-quarter basis, our service revenue grew by 20.2%, our underlying adjusted NOI grew by 26.2% and our underlying adjusted EBITDA grew by 29.4%. Our underlying adjusted EBITDA margin increased by 2.7 percentage points to 38%, our reported adjusted EBITDA margin was 39.5%, a 3.1 percentage point increase quarter-over-quarter and an 8-percentage point increase year-over-year. Turning to Slide 14, the main driver of revenue growth was the increase in area utilized, with around 20,000 square meters added in the second quarter and a further 14,000 square meters in the third quarter. Our contracts with large scale customers typically provide flexibility for how fast they move in. This gives us a bottom line in terms of delivery schedule and upside if customer move-in accelerates. The out-performance in the second and third quarters reflects faster than expected move-in. This might surprise you considering reports from the tech supply chain. But it just goes to show that our experience does not necessarily correlate with what they are seeing. Monthly service revenue or MSR per square meter in 3Q 2018 declined slightly from the previous quarter. However, if we exclude the impact of the three Hebei projects which came in to service around mid-year, the MSR actually increased. An MSR of RMB2,759 per square meter excluding Hebei is 2.5% below the average for the preceding 12 quarters. As we grow, our key objective is to sustain a return on investment, as measured by unlevered post-tax IRR in the mid-teens. The MSR is a rough approximation for the average selling price or ASP. But when it comes to measuring returns, we must also look at what is happening to development and operating costs. I will come to this in a moment. As shown on Slide 15, profit margins are on an upward trend. The growth drag at the adjusted NOI level which we saw in the past few quarters has now reversed. For this quarter, the margin expansion mainly came from the leverage on data center level fixed costs as a result of higher utilization. As shown on Slide 16, our data centers area in service is now over 50% stabilized, compared with 47% in 2Q 2018. The increase in the stabilized proportion contributed to the margin improvement. At the corporate level, on Slide 17, SG&A is 10.9% of service revenue. Going forward, we expect to achieve significant further leverage on our corporate overheads. Factoring in full delivery of the backlog, we can already see that the current level of SG&A is down to 6% of service revenue. Turning to CapEx on Slide 18. In 3Q 2018, our CapEx paid was around RMB1.1 billion, including RMB111 million related to acquisition consideration. For the year-to-date, our cumulative CapEx paid was around RMB3 billion. Most of the cost of the Hong Kong real estate acquisition will appear in 4Q 2018 CapEx. As you can see from the breakdown of CapEx incurred, it will cost an estimated RMB2.6 billion or US$380 million, to complete all the projects which we have currently in service and under construction. This would get us to a total of 191,000 square meters of fully fitted and equipped capacity. For the projects under construction, the estimated CapEx per square meter is around RMB60,000 or US$8,800 per square meter at current exchange rates, which indicates how we have been lowering costs and maintaining our returns at target levels. Turning to Slide 19, during 3Q 2018, our net debt increased from RMB7.2 billion to RMB8.8 billion. Part of the increase was due to the capital leases for the SH9 and BJ6 properties and part was due to the settlement of CapEx payables. Our net debt to last quarter annualized adjusted EBITDA ratio decreased from 7.8x to 7.3x. However, in 4Q 2018, with the payment for Hong Kong, we expect it to rise again. Our effective interest cost was 6.1%. Most of our existing loans are project finance at the data center level. These facilities are structured in a conservative way, matching the debt service to the project cash flows over a five-year period. Typically, once the data center is stabilized, the project debt to data center EBITDA multiple is around 3x. With a high level of pre-commitment in the form of six to 10 year contracts with investment grade counterparties, the ability to service this debt over the project lifecycle is assured. Once projects are stabilized, our practice is to refinance on a longer term basis. This means that we always have a lot of project finance going on. In 3Q 2018, we completed four project finance transactions for a total facility amount of RMB792 million. Currently, we have another five project financings on-going for a total facility amount of RMB2.9 billion, out of which RMB808 million is refinancing. The China banking market is currently very liquid and very receptive to our business. The benchmark rate for determining our interest cost is stable. In fact, they have not changed for three years. This gives us a high degree of confidence in our ability to continue project financing and refinancing to the extent required. Every project which we have announced to-date is fully funded with equity and debt. This means that we are fully funded to the level of 191,000 square meters of move-in ready space. In addition to this, we still have capital available for allocation to new projects which we will announce in the future. We are confident of our ability to leverage this capital in the same way as we have always done. With the combination of available capital and leverage capacity, we estimate that we could build out a further 50,000 square meters on top of the existing 191,000 square meters in service and under construction. Turning to Slide 20, as of the end of 3Q 2018, our backlog had increased again to over 61,000 square meters. We currently have around 100,000 square meters which is revenue-generating. The backlog implies that we can increase the revenue-generating space by 60% without signing any new customer contracts. Given the operating leverage, this should translate into more than 60% EBITDA growth from the level of 3Q 2018 based purely on what is already contracted. Finally, on Page 21, our 3Q 2018 results clearly show that we are tracking ahead of expectations in terms of revenue and adjusted EBITDA growth. The accelerated move-in has brought forward new service revenue that we expected to commence later. Given where we are today, we are further raising our guidance for FY2018 revenue and adjusted EBITDA to not less than RMB2.75 billion and RMB1.02 billion respectively. The new numbers imply year-on-year growth of over 70% for revenue and over 99% for adjusted EBITDA, in both cases exceeding the year-on-year growth rate we achieved in FY2017. At the same time, we are maintaining our FY2018 CapEx guidance of RMB4 billion unchanged. With that, I will end the formal part of my presentation. And we would now like to open the call to questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Jon Atkin from RBC. Please ask the question.
Jon Atkin: Thank you very much. So I was interested – I guess, a question for William or for Dan. As you look at potentially acquiring projects that are underway by smaller developers, what does the pipeline look for sort of small tuck-in M&A? And then a couple of questions that came to mind from your slide deck. Slide 16 gives information about the stabilized asset pool and I wonder if you could tell us what the margins are for that set of stabilized assets. And then lastly, on Slide 18, you talked about your construction program just under half of the area is pre-committed, three of the projects that you list there are 100% pre-committed. And as we think about the non-pre-committed sites in Beijing and Shanghai, are those likely to fill with one single customer? Or would you potentially fill that with multiple logos? Thanks.
William Huang: Hey, hello, Jon. This is William. I see what you see there in the market, what's happening and we see there is a lumpy acquisition opportunity in the market. So we selected the deal very carefully. We have more pipeline than before, but that let us use a very high standard to select the target acquisition deal. But I think we’re still in the early stage to evaluate a lot of projects right now. Dan, you want to add some more color?
Dan Newman: Just on the other two questions that Jon asked, the margin for the stabilized part of the portfolio – the stabilized part of area in service is fluctuates, but in the third quarter, it was over 55%. And about the projects that I've understood correctly, the projects which are under constructions are not yet pre-committed. So I think we provided some information about when those projects will come into service. So we just look at the two projects that will come into service in the first half of next year which are not yet pre-committed. One of them is Beijing 4, for now or for this section, we position that for enterprise and financial institution customers. We typically don't pre-lease. We may begin to pay commitments three months before it comes into service. As I said for now because there is some pressure from large scale customer, so we may reposition, reallocate that capacity we’ll make a decision in the future. The other thing essential which is due to come into service in the first half 2019, which is not yet pre-committed, is Phase 3 of what we call our Shenzhen 5 data center. It’s a very huge building relatively centrally located in Shenzhen. It's highly marketable. Right now, it's a tossup as to whether it goes to an existing customer in that building or whether we are free to offer it to other customers. Either way, that's a very nice resource to have in our hands. Does that answer your question, Jon?
Jon Atkin: Yes.
William Huang: Jon, I want to add a little on the M&A deal. Number one, currently, what we see in the pipeline is much stronger than before, but it does not say we would take action immediately. This would allow us to have more opportunities to get a deal, but our strategy is still continuing to growth. That's our priority.
Jon Atkin: Thank you. That does answer the questions. And then just lastly, given the strong demand and the desire to grow, including potentially in the new Tier 1 market, how do you think about your various financing options to fund this expansion?
Dan Newman: Yes, Jon. There's debt, and there's equity. Right now, the positioning in terms of the banking markets in China, as I said in the prepared remarks, is very favorable to us. And partly, as a policy response to what is happening, the Chinese government has reduced reserve asset requirements in four times for Chinese banks. And that's made it easier for us to obtain the project debt that we require. Not that we are having any problem, but I think it just gives us the ability to say that the leverage will be there with a very high degree of confidence. On the equity side – fortunately, earlier this year, we did a couple of capital raisings that put us in a relatively strong position going into this current situation. And I outlined the amount of capacity that we could build just using our existing capital. And you can assume that's either organic or it's a combination of organic and acquisition. But the total of what I said came to around 240,000 square meters. Up until now, we have always raised the equity capital we need at the holding company level, but we are always continuously approached by investors who are seeking to partner with us at the project level. So that's something we keep an open-mind about. So I think it's something really that I'd like you and the market to take away, that we're not beholden to the public equity market to raise the capital that we need. It's simply a question of looking at what our options are and what is the lowest cost of equity capital available to us at the time when we need it.
Jon Atkin: Thank you.
Operator: Thank you. Our next question comes from the line of Robert Gutman from Guggenheim Partners. Please ask the question.
Robert Gutman: Hi, thanks for taking my question. Can you just talk about the trend in accelerated movements? It looks like part of the beat and includes the Chengdu site that was delivered early. I believe that was 94% pre-leased. What's the outlook for the pace of move-in timing as we roll through the next few quarters?
Dan Newman: Hi, Robert, it’s Dan here. It's a curious one, isn't it because it happened at a time when all the indications from the tech supply chain is that the opposite should be happening, right. And it wasn't one customer in one place. If you really drill down into the details in the appendix in the earnings presentation, you'll see that there is, I think, seven or eight data centers which came into service at the beginning of this year, which is already somewhere between around 50% to 80% utilized, occupied, which is very rapid by anyone standards. Why is this? So there's a variety of reasons, because it's not one customer. It's not one place. And some of it is related to new products, some of it is related to some commercial activities. And a lot of it is just correlated with the growth of the cloud. Going forward, maybe it's too early to say, we get delivery notices from our customers. They give us around three-months plus notice of their move-in intentions, so we can forecasts around that. But beyond that time frame, we tend to forecast based on what it says in the customer contract. So there is a bottom line, a delivery schedule reported minimal contractual commitment in the customer contract, and that underwrites whatever guidance or forecasts that we make. And for now, I won't change our usual practice. I will leave it to go upside and at present outcome if indeed the customer is moving faster.
Robert Gutman: It’s great, thank you.
Operator: Thank you. Our next question comes from the line of Gokul Hariharan from JP Morgan. Please ask the question.
Gokul Hariharan: Yes, hi. Thanks for taking my question. First of all, Dan, could you elaborate a little bit more on your comments about the operating leverage that could start to kick in going into the next year or so? I think you started talking about SG&A coming down to about 10%, 11% level and potentially could be even lower. Second, could you talk a little bit also about what are your rough CapEx expectation, given the pipeline of demand that you're seeing as well as the entry into potentially one more – new Tier 1 market. If we leave the M&A aspect aside, which I think, you’re waiting on timing, et cetera, the right timing. From an organic basis, could you talk a little bit what could be the kind of CapEx that we should be thinking about? Is the number that you are spending this year roughly the kind of ballpark that we should be thinking? And one last question, a quick one. Could you talk a little bit about the Hebei project economics, now that at least one of the data center is pretty much stabilized. Are NOI margins in Hebei quite high compared to the normal data center operation given the ASP and the utility cost pass-through structure there? Thanks.
Dan Newman: Exactly, I could have guessed, you can answer it. We talk about the operating leverage at two levels, at the data center level and at the corporate overhead level. At the data center level, it does tend to fluctuate. We brought a lot of capacity into service late last year and early this year, and then that had a result of actually reducing or lowering our NOI margin. And as we've gone through the year, utilization rate has increased by, I think, three or four percentage points, and the proportion of our area in service which has stabilized has also increased by three percentage points. So that's what's raised the adjusted NOI. But I have to say when I look over the next three to four quarters, it's not going to go up in a straight line. However, leverage on the corporate overheads, I think that can be a very significant feature over the course of next year. We talked about this before. We have a lot of corporate overhead, which is related to growth, in terms of sales and marketing, project sourcing, design, procurement, construction management and of course, funding as well as some pre-operating costs, which are included in MD&A. But those costs don't really need to scale. We're still operating in the five Tier 1 cities. It may increase by one or two but we're not going all over the map. So I do think we expect to achieve quite significant operating leverage on corporate overheads over the next year. In terms of capital expenditures, if you calculate from – we've been disclosing cost to-date and cost to complete for our in-service and under-construction capacity. If you look at the under-construction capacity and calculate the total costs, you'll see it comes to less than RMB60,000, which you know at current exchange rates, is under US$9,000. That's clearly lower than what we talked about in the last couple of years, and it's an indication of the initiatives that we've taken around supply chain management and scale economics coming through. When we look at the CapEx for next year, although it's too early for me to give guidance, I think I can go on record and say that it's not going to be materially higher than this year's number. It will be higher, but not materially higher. As regards to Hebei, in total, it's three data centers which represent less than 10% of our total area committed. So I don’t want to call out too much those three data centers. Otherwise, it's going to over complicate. But you're right. The revenue per square meter is lower than our average. The data center level margin or NOI margin is higher, and the project return is at the low end of our range. But because of the build-to-suit customer contract, we were able to finance these projects with a lower overall cost of capital, so the spreads over our cost of capital was actually quite attractive. I've disclosed just for the third quarter and second quarter what the revenue per square meter – MSR per square meter would have been without the Hebei projects. If I look at the NOI margin or EBITDA margin, the impact of those projects was not very significant in those two quarters.
Gokul Hariharan: Okay, got it. Thank you. Thanks Dan.
Operator: Thank you. Our next question comes from the line of Frank Louthan from Raymond James. Please ask the question.
Frank Louthan: Great, thank you. Can you talk to us a little bit about the EBITDA margins? It's been a nice uptick. Where do you think those can ultimately go to? And remind us kind of what the margins are on the stabilized properties? And just as a follow-up and I apologize if you've mentioned this earlier but have you – what is the current status of any deals that you sourced from the CyrusOne relationship? And when do you expect to see some projects from that? Thanks.
Dan Newman: Okay, Frank. Hi, it’s Dan here. I’m going to touch on the EBITDA margins. I know what you and Gokul are obviously getting at. You want to know how quickly our EBITDA margins are going to go up. The first target we'd like to – the threshold that we like to cross is 40%. Incidentally, we IPO-ed just two years ago, just over two years ago, we just had a two-year anniversary. At that time, we targeted to reach 40% EBITDA margin at the end of 2018. And I think you can see that we are on track to achieve that. Despite the fact, that we are growing – our growth is 2 to 3 times what we expected at the time of the IPO, which also just implies very significant growth track which we have not factored in. So I think it's a good achievement for us to got here. I mean, if you look at the stabilized part of the portfolio, I've mentioned in the third quarter, the NOI level, it was over 55%. But when you add in the part that is not stabilized, which is ramping up, it brings the total down to 48.5%. And you know, that won’t go up very quickly. That was Gokul’s earlier question. It will go up and down. It will trend up, but it won't go up very quickly. But then you have to deduct from that the SG&A, which is currently over 10%, which will come down, I think, to the lowest levels you've seen from any U.S. data center service provider and maybe less. So, I think may be that gives you some indication of where the EBITDA margin will go to over the next one to two years.
Frank Louthan: Okay great, and on any CyrusOne – that you may be able to give?
William Huang: Yes, I think so far we still cook some deals right now. But what we see is that currently, the China government opened the door and let a lot of the financial institution and other multinational companies coming. So what we see are we are working very close with CyrusOne to try to catch up with a couple of this segment and have a vertical to which the company has the highest intention to come to China right now. So, I think that, given the time, we will have the result. I'm very confident on that.
Frank Louthan: Okay, great. Thank you.
Operator: Thank you. Our next question comes from the line of Colby Synesael from Cowen and Co. Please ask the question.
Colby Synesael: Great, thank you. Just a few. First off, just in light of where the stock has gone and your continuing need to finance. I was trying to get a sense of what comfort level you have on leverage and where that could potentially go over the near-to-medium term. And secondly, I think if we look at the macro, there is obviously a lag in terms of data centers, in terms of how people are purchasing those types of services from companies like yours. And I think the concern is that, as we start to see potentially a slowdown in 2018, as we go into 2019, we're not going to see that show up in your leasing results, perhaps for another year or so, because a lot of the projects, to your point, that you're signing now and likely will sign for the next few quarters are from deals that you've been working on for perhaps a year or two at this point. What comfort level do you have that those trends, as we go into 2019, can be sustained based on what your own observations are of the underlying businesses of your customers? And then, just my last one. You mentioned in your prepared remarks you're looking at potential edge expansions in some of the current Tier 1 markets that you're already in, looking to potentially industrialize how you go about building data centers. I was wondering if you can just give us a little bit more color on what that actually means and what the potential financial impact to your business could be perhaps over the next year or two?
William Huang: Let me explain a little bit about the next years outlook. I think a lot of people say, maybe a little bit that a server shipment that goes down. But this does not directly affect us, I’ll just explain because of a couple of reasons. Number one, we have the right customer and our customer what – the business which we host actually is very early stage in China. They all grow in a very significant way. And based on my latest conversation with all the business unit heads from our key customers, they all talk to me. And nothing changed in next year. So, this is number one, there is a very bottom-up conversation in the last four weeks. Number two, I would say, based on our sales pipeline, I can tell, to maintain this year's levels sales booking in next year, I'm fully confident because we already have 2.5 times of the pipeline coverage of our target. So, we just finished our sales plan for next year. So, I'm very confident to maintain this year's level, new booking in next year. And on the other hand, I think, as we just talked in my presentation, I say we keep add-on new large-scale customer in our customer list. This is quite a diversified our customer base. And all the Chinese unicorns, we still have a long time relationships which hasn't been our customer yet. So we are confident to add more customers like JD, NetEase and Kingsoft in the next few quarters. Okay. Let me talk a little bit about campus-type development. Number one, I think, the current environment, it's a lot of the local governments. Now they changed their attitude. A lot of the edge ton of the Tier 1 city they keep pursuing us and trying to invite GDS to buy some land or lock up some resource and then make some future investment in their area. They offer better deals than before, and they are eager to get GDS’s name in their new investment list. So now that GDS has a stronger position to get that better deal, faster deal in the future. But we are still evaluating right now. This is number one. That means, in the future, we try to build our land back in the future. But it's a little bit early to talk about, to inject the capital right now, but we try to maximum squeeze the landlord and the municipal local government, and if we try to gather the maximum condition for us. So, I think it's a good time to get into this project right now, so that we will have many ways to get the best deal. And it's not directly affect our equity right now. But on the other hand, we learned a lot from CyrusOne, which they have the track record to build hyperscale campus-type of data centers. And we have a lot of discussion with them and with our technical team. A lot of the new technology like VR structure, a lot of the prefabrication type of data centers skill, we learned a lot from them. This is the meaning, when we talked about, industrialize their future data center to fulfill their hyperscale customer and standardize our data center.
Dan Newman: Okay. Colby, on first question about how we think about leverage. The main focus is actually on the leverage at the project level. We inject equity into individual data center project companies and let them leverage with project debt. And typically, it's 60% debt, 40% equity. And then once the data center is stabilized, that translates into around three times debt-to-EBITDA. And if you look at the disclosure – if you look at the data centers which are in service, you'll see many of them have lease rates or commitment rates of 95% to 100%. In fact, I think, in 2017, have commitments of between 99% and 100%. The customers, the counterparties behind these commitments are almost entirely investment-grade, very well-known companies. And they are entering into six to ten again, I would say mostly eight to ten year contracts with us. A significant portion of those contracts don't have right of early termination. They all have very severe penalties. And I think only once in our history has a customer terminated. So if you look at the cash flow that can come from those contracts over multiple years relative to the amount of cash required to service the project debt, that is covered multiple times. So, we feel that the way our projects are financed is actually very conservative. However, when you add it all up, we have stabilized data centers, we have ramping up data centers, we have data centers under construction. The debt going down for data centers that have not yet reached optimal level of EBITDA, there is debt drawing down data centers, which are preoperational and have no EBITDA. And there's the aggregate of all that, which you see reflected in our consolidated net debt-to-EBITDA multiple. Interestingly, as of now, we don't have a single financing facility with a consolidated net debt-to-EBITDA multiple covenant in it. Nonetheless, appreciate that equity investors tend to focus on that metric even though it may not be all that meaningful. And we would like over time for that metric to come down to the kind of levels you see in the U.S. However, for now, with the very significant growth opportunity, which we have in front of us, I expect that, that multiple will stay at the kind of levels it's been now and in the last few quarters, which is to say seven times to eight times maybe closer to eight times.
Colby Synesael: Great, thank you very much.
Operator: Thank you. Our last question comes from the line of Colin McCallum from Credit Suisse. Please ask the question.
Colin McCallum: Thanks very much. I’ll just keep it short. There's two quick ones for me. The first one is just – I guess, for William. It's regarding the larger customers, finally this year, you have come under a little bit of share price pressure partly because of their margin. They've been missing and their costs a bit higher than people expected. Have they been turning right to you guys and putting further pressure on your lease rates and what they're paying you? And now I realize that as you mentioned you're in long-term contracts with them, so obviously, you wouldn't say anything to change in near-term numbers. But for forward contracts two, three, five year out, are you seeing any or hearing any pressure from your customer – from your large customers on lease rates? That's the first question. Second question, just a quick housekeeping question one for Dan. I saw that the net finance costs increased quite sharply quarter-on-quarter. Were there any one-off costs in the third quarter? Or is it just related to the increase in net-debt that you alluded to in your prepared remarks? Because I see that the interest rates have barely changed. Those are my two questions. Thank you.
William Huang: Colin, thank you for asking question. I think GDS current strategy is stay on the Tier 1 market. But in general, I still will say that in the Tier 1 market demand and the surprise to have that huge gap right now. So, we try to stay in the current price level for – in short term. For long-term point of view, I would say that our customers are very smart. They tried to deploy the different application in the different type of the product from different data center. So different product from different data center – actually, the price and the cost are different. So, it's early to talk about the price difference. So, our target – I will repeat that, our target is to maintain our IRR. Because in the last couple – last 12 or 18 months, we made a lot of effort to optimize our design, and we also drive down our revenue costs. So this led GDS to have the ability to maintain our IRR when feeling pressure from our customer.
DanNewman: Colin on your question about the effective interest rate, there's a simple reason, which is the convertible bonds, which we issued, which has a 2% coupon. If you excluded that and we just look at the effective interest rate for the rest of our debt, basically project term loans and working capital facilities, the effective interest rate would have been 6.7%, which is actually almost exactly the same as what it's been over the first nine months of this year.
Colin McCallum: Okay, got it. Thanks very much.
Operator: Thank you. I’ll now turn the call back to Company for closing remarks.
Laura Chen: Thank you once again for joining us today. If you have further questions, please feel free to contact GDS’s investor relations through the contact information on our website or The Piacente Group Investor Relations. Thank you all.
Operator: This concludes today’s conference call. You may now disconnect your line. Thank you.